Steven Rossi: [Starts Abruptly] discussing key operational milestones and share an updated outlook for 2025. Q1 of this year was a transformative period for Worksport. We released our flagship higher-margin products, the AL4 tonneau cover. We rapidly expanded our dealer network and strengthened our gross margins. We will be reviewing the financial results for the quarterly period ending March 31, 2025. These results were filed today at 4:00 p.m. Eastern Time in our Form 10-Q and can be downloaded from the link provided in the chat. At the end of today's call, we prepared -- our prepared remarks and presentation deck will be available for download at https://investors.worksport.com/#reports. Our remarks will be accompanied by a slide presentation. After these remarks, we will open the line for questions. With that, let's begin. During this call, we will make forward-looking statements, including statements regarding our financial outlook for the full year 2025, our expectations regarding financial and business trends, impacts from these macroeconomic environments and market position, opportunities, go-to-market initiatives, growth strategy and business aspirations and product initiatives and the expected benefits of such initiatives. These statements are only predictions that are based on our current beliefs, expectations and assumptions. Because forward-looking statements relate to the future, they are subject to inherent uncertainties, risks and changes in circumstances that are difficult to predict and many of which are outside of our control. Actual results or events may differ materially. Therefore, you should not rely on any of these forward-looking statements. These forward-looking statements are subject to risks and other factors that could affect our performance and financial results, which we discuss in details in our filings with the SEC, including in our annual report, Form 10-K and quarterly reports, Form 10-Q and other SEC filings. The forward-looking statements made in this earnings call are only made as of today's date. Worksport assumes no obligation to update any forward-looking statements we may make on today's webinar. We'll begin by highlighting Worksport's achievement from Q1 2025, celebrating the milestones that propelled our impressive growth trajectory. Following that, we'll dive into our financial performance, emphasizing our margin growth and developments from our dealer network. We'll then explore our operational successes, showcasing the growing success of our hard folding truck bed cover line proudly made right here in the U.S.A. We'll also discuss our continued success betting on ourselves shifting towards higher-margin, Worksport-only branded product sales. We'll also expand on highly anticipated upcoming product launches, including our SOLIS solar cover, COR portable energy storage system and innovations from Terravis Energy, our subsidiary, which has generated noteworthy industry interest. To wrap up, we'll share our vision and strategic plans for fiscal year 2025, provide fresh guidance and outline key financial goals for the rest of the year, paving a clear strategic roadmap for continued expansion and profitability. The first quarter of 2025 marked a continuation of strong growth. Revenue for the quarter reached $2.24 million, a 337% increase compared to $512,000 in Q1 of last year. While this figure is slightly lower than our Q4 2024 results, this decrease is consistent with seasonal trends as Q4 typically represents our strongest sales period. For example, with Black Friday and the holidays, while Q1 tends to be slower. Importantly, we remain confident in achieving substantial year-over-year growth by the end of this year 2025. Our strategic shift towards branded high-margin products highlighted by the late Q1 launch of our AL4 product line has meaningfully improved gross margins and set a constructive tone for the year ahead. Early indications show that AL4 sales are already contributing to a significant portion of our Q2 revenues, reinforcing our expectations for continued upward momentum. With a very exciting road ahead as consumers adopt the newly released AL4, we're all working hard to achieve continued significant and exponential growth in the months ahead. Mike Johnston, our CFO, will now walk you through the financial details of Q1 2025.
Michael Johnston: Thanks, Steve. Please bear with me, I'm on a bit of a cold here, so my voice might be all over the place. We've reached significant financial milestones this quarter. Gross profit rose notably to $396,000, achieving a gross margin of nearly 18%, which is up from 7% in the same quarter last year and 11% in Q4 of 2024. These improvements highlight the ongoing success of our strategic shift towards higher-margin Worksport-branded products, and better operational efficiency. We expect margin to continue improving with an objective of reaching 25% to 30% later this year. We believe this will be achievable with increased production that will optimize overhead absorption along with continued sales growth of our AL4 product. Furthermore, with COR and SOLIS releasing later this year, we expect additional notable improvements to the company's gross profit and top line revenue profile. Total operating expenses for Q1 were $4.65 million, up from about $3.68 million in Q1 of 2024. 26% increase in operating expenses reflects targeted investments that directly supported a 337% surge in revenues over the same period from last year, demonstrating the scalability of our model and return on our strategic spending. This increase in operating costs reflects some one-time expenses, ongoing strategic investments in marketing, product development and significant investment in expansion of our sales team. More specifically, sales and marketing expenses were $870,000, reflecting expanded digital marketing efforts. General and administrative expenses rose to approximately $2.99 million from $2.29 million, driven primarily by increased staffing and facility-related costs. Professional fees decreased to $426,000 to $944,000, highlighting effective cost control measures. For Q1 of 2025, our operating loss was approximately $4.46 million compared to $3.71 million in the prior year period. Our net loss of $4.46 million, reflecting the costs associated with scaling operations and continued strategic investments, specifically in sales and marketing expenses and nonrecurring corporate expenses. Despite the net loss and improved gross margin, operational efficiency lay a foundation for achieving profitability. We believe there is adequate room to continue control expenses while continuing to accelerate expansion. The gap between expenses and gross profit is expected to decrease in future quarters. Importantly, the company is still targeting to achieve operational cash flow breakeven in Q4 of 2025, early Q1 of 2026. More on this to come later. Turning to the balance sheet. Cash and cash equivalents stood at $5.08 million, slightly up from $4.88 million at year-end 2024. The increase follows capital raising efforts and subsequent to a reduction of long-term debt of approximately $2 million this quarter. Working capital improved to $7.94 million, providing financial flexibility and operational readiness to continued growth. Our current liabilities decreased slightly, enhancing our liquidity position and preparing us to effectively manage our upcoming product launches. During Q1 of 2025, cash used in operating activities totaled $3.84 million, primarily reflecting our net loss and increased inventories to support projected demand. Investment activities consumed $269,000 primarily for property and equipment upgrades. Financing activities generated positive inflow of approximately $4.5 million, driven by proceeds from warrant exercises offsetting operational and capital investments. We had inventories of $5.7 million as of March 31, 2025, a slight increase from December 31, 2024, representing roughly 50% of our current assets. Notably, $3.4 million of our inventory balance is raw materials. This inventory includes components for our AL series covers and legacy products, and we deem it appropriately balanced. We have processes in place to monitor for any slow-moving or obsolete stock and will adjust production and purchasing accordingly. We view our quarter end inventory level as a healthy support for 2025 sales targets without needing substantial further investment in working capital. We also view this inventory level as sufficient to combat short-term tariff related impacts on our business. While long-term impacts are expected to be relatively minute for our Made-in-America hard covers. Now, back to Steve for key insights on business operations.
Steven Rossi: Thank you, Michael. Beyond the financial numbers, Q1 marks the foundation of what we can expect for the year ahead. I'd like to highlight some of these key milestones we achieved that are setting the stage for our future. We started shipping AL4 tonneau covers and listed the AL4 for sale on our e-commerce platform only in late February 2025, just a few short months ago. The AL4 launch is significant for Worksport as it expands our product line at the high end with early feedback from customers being very positive on the quality, aesthetic and functionality of this cover model. The product will be a big part of our story for the rest of this year. We've had tremendous early interest and expect this product to be a significant revenue driver for us in the near-term. The Worksport factory is targeting 4x growth in monthly production by the end of Q3 2025 as compared to Q4 of last year. In other words, we're targeting to produce over 200 units per day by the end of summer and have already made positive progress towards that goal in Q1, but even more so in the early months of Q2. A production rate of 200 units per day would represent upwards of $45 million in annual top line revenues from our e-commerce channel, while earning strong economies of scale that will drive up gross margin towards our previously forecasted levels. Our reseller sales network has grown significantly as well in Q1 2025, and it continues to grow. Reseller network growth. Worksport's U.S. network now totals 151 active dealers, a 64% increase from 92 at the end of last year. Worksport has added 35 new dealer accounts in March following 24 additions in January and February combined. March 2025 business-to-business sales grew nearly 70% from February, underscoring strong market momentum and heightened interest of the AL4 tonneau cover. Worksport dealer partners are independent truck accessory retailers and installers, main street businesses that form the backbone of the U.S. economy. Worksport's mandate is to help these local businesses thrive by providing the best service, products and profit margins possible. This mandate will be the reason that with over 17,000 addressable dealers nationwide, we expect to see significant continued growth and adoption of our products within the B2B markets. We anticipate dealers contributing to notable revenue growth this year. Worksport will look to strategically expand further by partnering with distributors and purchasing groups who value American-made quality and prioritize dealer success. These partnerships would bring many new dealers to the Worksport network as well. The company expects to provide additional updates in the near-term. Again, the company's products are engineered to deliver healthy margins for dealers while offering exceptional performance and value to end users, making Worksport a win-win solution for both sides of the market. Worksport plans to release three new products this year, the HD3 hard folding tonneau cover, the SOLIS solar integrated tonneau cover and the COR, our portable energy storage system. The HD3 is a heavy-duty business-to-business oriented tonneau cover under development for release this summer. It builds on our AL3 design, but with enhanced materials, seals and latch mechanisms for greater durability. The key strategy with the HD3 is to cater to commercial and fleet customers. For example, businesses outfitting work truck fleets with a product that can withstand rigorous use. While the product will be available both on our website and the wholesale customers, the intention of the HD3 would be to primarily support growth amongst our wholesale business-to-business customers. The HD3 is expected to begin production and sales in the coming months, adding another revenue stream for 2025 and more importantly, rounding out a full line of high-quality durable tonneau covers made right here in the U.S.A. Now on to our SOLIS. In Q1 of this year, Worksport advanced solar integrated tonneau cover, SOLIS, towards beta testing, selecting key customers to trial early units ahead of a planned commercial launch later this year. The SOLIS will be assembled in the U.S.A. using American aluminum and solar panels sourced from India, a country we view as tariff favorable. Early interest has been strong, particularly among pickup truck owners, including F-150 drivers, both in EV and traditional segments. Pricing is expected to align with existing premium tonneau covers, positioning our patented solar tonneau cover functionally -- and its functionality as a compelling value add within our market. Now on to the COR mobile power system. Along with SOLIS, Worksport's portable COR power system is nearing mass manufacturing and remains on schedule for a release later this year. COR is a modular portable energy solution that can integrate with SOLIS, a solar tonneau cover or function as a stand-alone unit, offering reliable power for work sites, job sites and emergency scenarios. Designed with the broader global consumer market in mind, COR represents Worksport's first entry beyond the pickup truck segment, targeting a wider range of users. Together, COR and SOLIS position Worksport within the fast-growing multi-billion-dollar portable energy market, a space the company believes will be a key long-term profitability driver. Now on to innovation and clean energy. Terravis Energy, AetherLux heat pump breakthroughs, on February 11, 2025, we announced that Terravis, Worksport's subsidiary has developed a cold climate heat pump system named AetherLux with two major innovations: the elimination of defrost cycle and ultra-low temperature innovation, the likes of which does not exist in this world. The elimination of the defrost cycle. The AetherLux heat pump can operate without the need for traditional defrost cycles. Defrost cycles are common drawbacks in heat pumps, where the system periodically stops heating to melt ice buildup. Eliminating this requirement means continuous efficient heating even in freezing conditions. In the ultra-low temperature operation, the system can function in ambient temperatures as low as negative 57 degrees Fahrenheit or negative 49 degrees Celsius, far below the operational range of commercial heat pumps. This is a groundbreaking capability, marking the AetherLux -- making the AetherLux potentially viable in extreme arctic environments or applications that were previously impossible for heat pumps. This is a huge global opportunity. The AetherLux heat pump featuring our revolutionary ZeroFrost technology continues to generate substantial global interest from multiple major global corporations. We remain committed to monetizing this transformative technology and remain open to discussions on strategic licensing and manufacturing opportunities within this $123 billion market. Now on to intellectual property. Worksport holds a robust and growing patent portfolio of over 170 approved, registered and pending patents and trademarks. On January 2025, we joined the LOT Network, a global consortium aimed at safeguarding innovations against patent trolls. This move helps protect our intellectual property and gives us access to a broad community of tech companies committed to cross-licensing for defensive purposes. Worksport believes it has strong protection pipeline against competitors on its upcoming innovations, including the SOLIS tonneau covers, COR battery system and AetherLux heat pump. I'm going to pass it back to Mike with our updated fiscal year 2024 outlook and guidance.
Michael Johnston: Thanks, Steve. Worksport's hard tonneau covers led by AL3 and AL4 models are proudly manufactured in the U.S. Sourcing predominantly in the U.S. provides us with strong resilience against tariffs and geopolitical challenges. Soft covers, currently sourced from China, account for a relatively insignificant portion of our revenues, though domestic production is actively under review. The upcoming SOLIS solar cover will be assembled in the U.S., with solar panels expected to be sourced from India, a country maintaining relatively stable trade relations with the U.S. For the COR portable power system, Worksport is working with its international battery supplier and U.S.-based partners to mitigate tariff exposure and evaluate onshore manufacturing opportunities. Our US -- Made-in-USA Advantage by sourcing locally and manufacturing in U.S., Worksport believes it mitigates tariff risks on its tonneau cover products, supports American jobs, and delivers superior product consistency. The AL4's success proves that manufacturing in the U.S. using American sourced material and a strong American workforce is a proven strategy for growth and success within the world's largest economy. As we look ahead, we are still very optimistic about Worksport's trajectory in 2025. We expect to carry forward the momentum in margins from Q1 2025 to sustained and exponential growth and improved financial performance. Let me share our outlook and guidance for the year. We are forecasting another year of significant revenue expansion in 2025, driven by both our core tonneau cover business and new product introductions. Based on our current visibility, we are targeting full year 2025 revenues in the range of $20 million to $25 million. We are pleased to share some insights on what drives this exciting forecast. While Q1 2025 revenue was $2.24 million, impacted by some expected seasonality, we are confident Q2 revenue will see further margin improvement and revenue growth. This will be driven especially by the launch of the higher margin AL4, which started sales late in Q1. This revenue projection reflects an approximate 2.5 to 3x increase from the 2024 year-end revenue. The tonneau cover business is expected to carry this growth. We expect the tonneau cover sales to improve in Q2 and notably ramp up in Q3 and Q4, allowing us to steer towards this target. We are initially targeting $2 million to $3 million in revenue from the COR and SOLIS product lines by year-end. However, as geopolitical conditions and global supply chain volatility, especially particularly in power electronics improve, we remain optimistic about potentially raising this portion of our year-end guidance later in Q3. We believe the upper end of this range around $25 million will usher us into cash flow breakeven and set a strong foundation for targeting profitability. While it's early to provide a comprehensive revenue projection for 2026, we target overall company profitability and a healthy revenue growth from 2025, largely driven by expanding market share in the multi-billion-dollar U.S. tonneau cover market and aggressive growth of COR and SOLIS. As mentioned, cash flow positivity is our next major goal post. We are encouraged by the margin improvements seen in Q1 2025, and we expect gross margin to continue to increase in 2025 as our product mix shifts further towards higher-margin items and as we benefit from economies of scale. By phasing out lower-margin private label offerings, we anticipate gross margin will step up each quarter. We currently forecast gross margin reaching the 25% to 30% range or higher by late 2025. While we continue to invest in R&D and sales to support growth, we expect a more moderate increase in operating expenses relative to revenue growth in 2025, which should drive improved EBITDA. Our overarching financial objective for 2025 remains to move significantly closer to cash flow breakeven and ultimately to achieve cash flow positivity by late 2025 or early '26. With the revenue growth and margins I just described, we believe Worksport can reach a cash flow breakeven. This goal is becoming more practical day by day, and our team is dedicated to achieving it. We intend to manage operating expenses carefully -- balancing growth investments with efficiency. Should we outperform on sales or margins, we would pull ahead the timing of reaching breakeven. Importantly, even as we strive for profitability, we maintain sufficient cash reserves and access to capital to fund our growth initiatives, so we are not pursuing growth at the expense of liquidity. With respect to capital expenditures, we expect moderate capital expenditure needs in late 2025. Most of our required production equipment for tonneau covers is already in place, although management is considering additional equipment required for scaling operations. We will also invest in additional tooling for production ramp up, and possibly automation enhancements to improve throughput. The launch of SOLIS and COR might require some investments in production setup, but again we expect to manage this within our operating cash flow as the year progresses. In summary, our 2025 outlook remains very similar to our outlook projected in Q4 2024, one notable growth with improving financial performance. We have set clear targets, aggressively grow, expand margins, and achieve a sustainable financial model by year's end. We will report our progress each quarter, and we are confident in our direction. Now, back to Steve with our concluding remarks.
Steven Rossi: All said, and thank you, Mike. To conclude, our strategic priorities for 2025 remain well defined. Scale sales of our current products, including the AL4 and AL3 and upcoming HD3 tonneau covers. Successfully launch our SOLIS cover and COR product lines, drive continued innovation and strengthen intellectual property protections. Maintain operational excellence across manufacturing and supply chain, improve margins and continue ramping up revenue with a clear path towards achieving cash flow positivity. We remain focused on disciplined execution across these priorities to support sustained growth and long-term value creation. To our investors and analysts listening, thank you for your time today and for your interest in Worksport. We are committed to transparent communications and delivering on our promises. We look forward to updating you on our progress in the quarters ahead as we work to create sustainable long-term value.
Michael Johnston: Thanks, everyone. This concludes our prepared remarks. Operator, please open the line for questions.
Steven Rossi: We're now open -- go ahead, Fran.
Operator: Thank you, Mike. We have two questions from an analyst at Maxim, Tate Sullivan. First question is, have you made sales of the AL4 product this quarter?
Steven Rossi: So yes, Tate, thanks for that question. AL4, it's flying off the shelves. We can't keep up. We were actually running low on stock last week. We're not only selling it. We're selling the heck out of it. It's going extremely well. And we have a lot of new -- we have a lot of news flow relating to the product and its uptake specifically to the reseller network coming.
Operator: Thanks, Steve. And the second question is, what are the raw materials that are within the inventory budget?
Steven Rossi: Raw materials within the inventory budget are everything that's required from packaging our product to plastic components, brackets, seals, weather stripping, everything required to manufacture the product. The product's majority of its inventory comprises of aluminum products, probably, it's all domestically sourced aluminum. So it's aluminum ingot from American soil, extruded up by American extruders or rolled into coils here in America, painted with American paint. So I would say about 60%, maybe 70% of our bill of material is consisting of aluminum products, which most of our products are all aluminum. That's for the AL3, AL4 and the upcoming HD3. The SOLIS will be all the same, but with the addition of relatively expensive solar technology that we're importing. So the cost breakdown will be a little bit different, and it will be about 20% aluminum and about 60% solar is the cost for these high-performance panels, if that makes sense.
Operator: Thanks, Steve. That's all the questions we have from Tate. We do have two more analysts on the call, but I don't see any questions for now.
Steven Rossi: We'll open the floor if anyone has any questions, just by all means.
Scott Buck: Steven, it's Scott Buck. Can you hear me?
Steven Rossi: Yes, I can. Hey, Scott.
Scott Buck: I appreciate the time guys. I'm curious, what do you have in place currently for distribution with COR and SOLIS? Will they be using the same dealer network that you use for the covers? Or how will that work?
Steven Rossi: The COR and the SOLIS is going to be -- it's going to be a moving target in terms of distribution of the product. Distribution is good, both the products are high technology, and we may reserve at least the initial launches for consumer direct sales exclusively, at least for, let's say, Q3 or Q4 of this year. That will allow us to gauge feedback, also capitalize a little bit and recoup tooling and expenditures with the higher margins. And then what we probably will do is release that to distribution, the same distribution network probably late this year or early next year on both sides. But what I will say is we've had a very sincere amount of interest from like very large businesses with fleets of thousands of pickup trucks, oil and gas, exploration and obviously, through our connections as disclosed in our previous press releases relating to government services, of which there's hundreds of local and federal government agencies that exist, and we've had already some sales into very key ones. So I think that to answer, summarize my explanation, I think that we're going to go direct-to-consumer to start, get it stabilized, recoup some of our expenditures over the R&D side of things and then release it to the existing distribution network. But in addition, we have a lot of inbound interest from large fleets and government agencies.
Scott Buck: Great. That's helpful. And then my second one, the gross margin expectations through the remainder of the year, are the new products being launched, do they have higher gross margin? Or is this simply a benefit of scaling?
Steven Rossi: It's both. So the same production line that's gearing to make 200 units per day with virtually the same amount of staff, maybe modestly higher was producing 40 or 50 units a day. So we're really reaching a strong amount of efficiencies of production. We're going to look to automate key elements of our production and then upscale those roles from those individuals to more like automation operators. So we're reaching a very strong economy of scale. And I have to say, Scott, the opportunity for efficiencies as a cost reduction or margin increase is massive. It represents a strong -- almost all of the margin increase. But we're also gearing Worksport to not come up with cheaper products to fill that white box or imported product market. But we're scaling -- we're ramping up Worksport to be a more premium brand. It will beg a higher price point, but with financing available these days for individuals as well as through our website, I think that we could sell more expensive products at higher margins that drive strong value to the consumer and they see the value there to spend that dollar. We earn that dollar through innovation. So it's going to be both. We're going to raise our profitability metrics, but we're also going to increase the economies -- margins through economies of scale. So it's actually both top and bottom.
Scott Buck: I appreciate your time guys. Thank you very much.
Steven Rossi: Thank you, Scott. Great questions.
C. K. Poe Fratt: Hey, Steven.
Steven Rossi: Hey, Poe.
C. K. Poe Fratt: Yes, Poe Fratt from AGP. Can you just clarify on the guidance? You're using still $20 million to $25 million from tonneau covers. And then the SOLIS potential $2 million to $3 million of sales, hopefully, end of the year, maybe bleed into next year. But I just wanted to be clear whether that's included in that $20 million to $25 million guidance for 2025?
Steven Rossi: Well, no, we've eliminated it. So what we're not doing, Poe, is we're not saying that we're not going to sell any of them. What we are saying is that we're not going to project it. So it would be like -- and as stated in our remarks, we will augment or update our guidance when geopolitical matters settle. So the battery supply chain and the semiconductor supply chain are all from generally Asia region countries. And our solar panels for our SOLIS is also within the continent of Asia, but from India, a little bit more favorable in trade. So what we're doing is, this quarter, we're removing the guidance of SOLIS and COR sales altogether, although we intend to sell them and we intend that there'll be a pleasant surprise in addition to the guidance that we've issued. We're strictly issuing guidance for traditional Made-in-America tonneau covers. Again, while not admitting we won't sell anything, we just -- we're going to wait another quarter to see how things pan out.
C. K. Poe Fratt: And am I correct in looking at the Q and seeing pretty much that everything shifted to the hard tonneau covers and the soft tonneau covers are pretty much going to 0 by the end of the year?
Steven Rossi: Yes. So that's our -- money's where our mouth is, for lack of a better phrase. The soft covers come from China. We, in no way, are supporting business -- imported business any longer, and we're exploring very actively the production, the manufacturing of soft covers within North America. In fact, Poe, we already have all the equipment necessary to cut and sell our own soft folding goods within our factory. We just need to finalize the design of the product. So we're planning on restarting that product line as following our Made-in-America mandate.
C. K. Poe Fratt: Great, thank you.
Steven Rossi: Thank you, Poe. Any other questions?
Operator: Thank you, Mike. I think that's all the questions we have for today. We'd like to thank everyone for attending. And if there's any more questions from the retail side, please send us an e-mail or give us a call, and we'll be very happy to answer. Thank you so much. Have a great day.
Steven Rossi: Take care, everyone. Thank you.